Operator: Ladies and gentlemen, thank you for standing by for Autohome’s First Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference call is being recorded. If you have any objections, you may disconnect at this time. It is now my pleasure to introduce your host Cara O’Brien, of FTI Consulting. Ms. O’Brien, you may begin.
Cara O’Brien: Thank you, operator. Hello everyone and welcome to Autohome’s first quarter 2015 earnings conference call. Earlier today Autohome distributed its earnings press release and you can find a copy on the company’s website at www.autohome.com.cn. On today’s call we have Mr. James Qin, Autohome’s Chief Executive; and Mr. Nicholas Chong, Autohome’s Chief Financial Officer. After their prepared remarks, James and Nicholas will be available to answer your questions. Before we begin, please note that the discussion today will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. Potential risks and uncertainties include, but are not limited to those outlined in the public filings with the SEC. Autohome does not undertake any obligation to update any forward-looking statements except as required under applicable law. The earnings press release in this call also includes discussions of certain unaudited non-GAAP financial measures. The press release contains a reconciliation of the non-GAAP measures to the most directly comparable GAAP measures and is available on Autohome’s IR website. As a reminder, this conference is being recorded. In addition, a webcast of this conference call will also be available on Autohome’s IR website. I will now turn the call over to Autohome’s Chief Executive Officer, Mr. James Qin. James?
James Qin: Thank you Cara and hello everyone. And thank you for joining us today. We are off to a great start in 2015. I’m very pleased with the strong top-line growth as well as the sustained strong bottom-line performance. This is all thanks to the spectacular efficiency of our team. Really one of the best across the industry. Our solid performance was driven by growth in all of our core businesses. In the first quarter, we achieved revenue growth of 82.1% year over year to RMB622.9 million. And adjusted income increase of 44.3% year over year to RMB197.5 million. As a brief reminder on why we believe we are the leader in our industry, let me mention a few things. We have created a multi-faceted transaction platform with high conversion rates and strong transaction facilitation ability. We have industry-leading growth in our dealer subscribers and we are known for both our quality and quantity of sales leads. Autohome continues to be the number one destination for automobile consumers in China, providing dynamic content to users covering the whole car ownership lifecycle and has the deepest user engagement. We have the leading mobile and PC platform across the industry and a top portfolio of mobile applications to serve our users. Our company therefore always outperforms the industry with strong revenue growth and solid bottom-line results. And during the first quarter, we made even further progress on solidifying these strengths. To give you a quick summary, we hosted a successful flash sale festival with targeted OEMs in our Autohome Mall and the results exceeded our expectations. For dealers, we officially launched i-Autohub, our new intelligent marketing system. With this, our primary goal is to assist the dealers to improve their conversion rates and transaction execution. Also, we ran a number of successful group- buy events for dealers and established our cost-per-sales products. Through this, we’re bringing dealers directly to the transaction front to increase their efficiency. To further strengthen our media advantage, we made a pioneering move by introducing the industry-first online real-time auto-information products. In short, we continued to strengthen our superior market position on all fronts. Now, I would like to give you an update on progress of each stage of our business and probably most important discuss how we facilitate transactions through our competitive advantages while maintaining our industry-leading efficiency. In stage one, it’s about generating and sustaining quality traffic. During the first quarter, we made great strides on the mobile front, delivering strong traffic growth and increased contribution to automaker advertising services revenue, with mobile advertising revenue accounting for13% contribution to it. We’re glad to see that our investment in this area is paying off. In March, the number of average daily unique visitors for our mobile site and mobile applications amounted to approximately 5 million and 4.7 million respectively, representing growth of 131% year over year. According to our log data, mobile usage continued to consistently exceed PC. Mobile in the first quarter contributes 58.7% to our total sales leads, which is a new all-time high. In particular, we launched RealTime Auto or [Foreign Language] in Chinese. And also an online radio channel called [Foreign Language] in March and April respectively. These mobile products deliver live automotive information and allow users to access first-hand industry news, information about new car launches etc on a real-time basis, which is a great leap forward versus the industry’s traditional practice. Given our innovative approach, we have more products in the pipeline as we are constantly looking to enhance our users’ experience and access to our content, which in turn stimulates the traffic growth and user engagement. We believe the effects of the enhanced mobile content will be beneficial to our four-stage funnel. One, it will attract more transaction-ready users. Two, it will generate more leads from those users. Three, it will attract more dealer subscribers and OEMs who are drawn to a serious consumer audience and close more deals through our platform. And four, it will engage more car users so that we can serve them with used car and aftermarket services need. Most importantly, with content beloved by these highly- engaged and transaction-ready users, we will continue to be extremely well placed. A core competence for Autohome is that we are able to grow our transaction platform with an efficient cost basis. And this, together with our highly efficient teams and strong branding in the market makes us the real leader. In fact, according to the Baidu Index, we’re maintaining clear leadership among China’s automotive websites and automotive channels of Internet portals. The Baidu Index monitors the search data and provides a real trend of the actual search volume of our brand. Let’s now turn to stage two of the funnel. That is our lead gen business. We continue to see encouraging growth in our Dealer Yellow Pages business which includes dealer subscriptions and dealer advertising services, growing 96.3% year over year. Of which revenue from dealer subscription services increased 89.5% year over year in the first quarter of 2015, with dealer subscription ARPU increased 34% year over year. In the first quarter, our dealer subscribers increased to 17871 from 12659 in the corresponding period in 2014, representing an increase of 41.2%. This year we believe that it is critical to improve the conversion rate of our dealer customers in order to help them close the transaction loop. Driven by this belief, we have successfully rolled out our i-Autohub or [Foreign Language] in Chinese, in March. Apart from the sophisticated user data analytics and sales lead management and sales lead management, more importantly it provides predictions on car buyers’ behavior to dealers and thus enables them to make informed decisions on pricing and sales promotions and eventually helps them to improve conversion rate. Again, with our deep user engagement, it does not cost us anything extra to capture the insights from users, but it is of great value to our dealer subscribers when it comes to closing more deals. To help dealers close more transactions in the first quarter, we focused resources on launching our cost- per-sales product. By the end of April, we had already held 10 group-buy activities with average conversion rate over 25%. Going forward, we will scale up buy activities with average conversion rate over 25%. And we will scale up the product and capture a new stream of performance-based revenue from dealers. Moving to stage three of the funnel. This is where we close the transaction loop. This has been our key focus to better position us the most efficient transaction facilitator in the automotive space in China. As part of the effort we launched our first 2015 flash sales event in late March in our Autohome Mall. The flash generated more than 14,000 orders with over 70% conversion rate. It involved more than 30 car models with over 2,200 dealers from over 280 cities participating. We’re excited to see that this transaction volume brought by a four-day event made a meaningful contribution to the sales of our automaker customers. For the best case, we even contributed more than 40% of their average monthly sales. These are tangible results to show that our core competency is the unrivalled capability to help our dealer and automaker customers to close deals. Most importantly with the transaction-ready users frequently looking for deals on our platform, such traffic relevance and the user engagement is a perfect synergy for Autohome to be a solid transaction facilitator across the whole of our industry. Our 2015 focus is to fully become a transaction-centric company. With the foundation of our highly-focused and deeply engaged transaction-ready consumers, we believe we’re on the right track to achieve our goals while sustaining our efficient cost structure. Before I turn the call over to Nicholas, I want to briefly summarize a few things. First, we’re very pleased with our execution which allows us to consistently deliver profitable growth on a sustainable basis. Further, mobile will be central to engage more to engage more users. We will continue to be a pioneer in delivering the leading mobile experience for users. Thirdly, we are constantly working to build out our robust transaction platform with the help of strong brand equity, superior content, extensive OEM support and dealer network, the broadest user base in the industry and our high efficiency. Most importantly, we are proving that we can deliver a superior transaction platform while maintaining strong bottom-line performance for our own business. Most importantly, as a listed company since the fourth quarter 2013, for six quarters in a row, we have consistently delivered credible performance on all fronts. We thank our employees for their hard work and also our users, customers and shareholders who always believe in us. With that, I will now turn the call over to our CFO, Nicholas and he’s going to tell you more about our first quarter and our outlook for the future. Nicholas?
Nicholas Chong: Thank you, James, and hello everyone. As James noted, we have posted very strong results for the first quarter despite the seasonality factor. Net revenue came in ahead of our original guidance. I’m very excited to see the continued strong momentum. For the first quarter 2015, there was robust growth on both the top and bottom line and we also maintained a healthy cash position. In connection with our business expansion, we have also been reinvesting in the business in order to sustain long-term growth in revenue and profitability. And we are proving we are able to invest while still maintaining industry-leading overall results. It’s something we are very proud of. Let me spend a few minutes to drill down into the numbers and talk you through some specific details for the first quarter. Note that quarter. Note that I’ll reference RMB only in this discussion, but you can find equivalent U.S. dollar numbers in our press release issued earlier today. During the quarter, we performed well against all key financial priorities. Net revenues for the first quarter increased 82.1% to RMB622.9 million from RMB342 million in the corresponding period in 2014. Breaking this down further, all of the different revenue components showed great strength. Dealer yellow page business which includes dealer subscriptions and dealer advertising services grew 96.3% year over year. Separately dealer advertising services revenue significantly increased 113% to RMB11.7 million from RMB47.7 million in the corresponding period in 2014. Meanwhile, dealer subscription revenues increased 89.5% to RMB119.9 million from RMB116.1 million in the corresponding period in 2014 with balanced growth from both volume and ARPU. This was mainly driven by the increase number of paying dealers which was a result of deeper penetration into existing markets as well as an increase in the share of wallet from the paying dealers during the first quarter. As James has noted, we sold dealer subscription services to 17,371 dealers for the first quarter of 2015 compared with 12.659 dealers in the corresponding period in 2014 while with 34% increase in ARPU, which is of course very encouraging. Turning to automaker advertising services, revenues increased 69.1% to RMB3.01.3 million from RMB178.2 million in the corresponding period in 2014. The increase in automaker advertising services revenue was attributable to an increase in average revenues per automaker advertiser as automakers continued to allocate more advertising budgets to Autohome’s online advertising channels. This is terrific news for our business. Gross Profit for the first quarter increased 90% to RMB590.8 million from RMB273.6 million in the corresponding period in 2014, as we continue to enjoy further economies of scale from our operations. Turning to the cost side of the business, as I’ve mentioned many times while we are certainly re- investing heavily in the business, we are at the same time very cost efficient and prudent with our spending. Operating expenses for the first quarter increased 153.9% to RMB218.2 million from RMB135.3 million in the corresponding period in 2014. As a percentage of net revenues, operating expenses for the first quarter increased to 51.1% from 36.6% in the corresponding period in 2014. As we have been continuously reinvesting in key strategic areas such as sales and marketing, including the Baidu Aladdin investment as well as other mobile traffic acquisition, product development expenses and general administrative needs as we are reinvesting in the business to drive future growth opportunities. Even with this increase in expenses, we are still delivering industry-leading overall margins and profitability levels. Operating Profit for the first quarter increased 36% to RMB201.6 million from RMB148.3 million in the corresponding period in 2014. All in all, net income for the first quarter increased 35.8% to RMB165.6 million from RMB131.9 million in the corresponding period in 2014. Basic and diluted earnings per share and per ADS for the first quarter were RMB1.49 and RMB1.44 respectively, compared to basic and diluted EPS in the corresponding period in 2014 of RMB1.16 and RMB1.08 respectively. Adjusted net income which is defined as net income excluding share-based compensation expenses and amortization expenses of intangible assets related to acquisitions increased 44.3% for the first quarter to RMB190.7 million from RMB136.9 million in the corresponding period in 2014. Non-GAAP basic and diluted EPS for the first quarter were RMB1.78 and RMB1.71 respectively compared to the Non-GAAP basic and diluted EPS in the corresponding period of 2014 of RMB1.30 and RMB1.22 respectively. Turning to balance sheet and cash flow information, that’s also an area of key strength and sustained positive performance. As of March 31, 2015, Autohome had cash and cash equivalents and term deposits of RMB3059.2 million. Net cash provided by operating activities in the first quarter of 2015 was RMB28.9 million, compared to RMB250.7 million in the corresponding period in 2014. Let me now address our outlook for the quarter ahead. For the second quarter of 2015, we currently expect to generate net revenues in the range of RMB311 million to RMB348 million, representing a 60% to 67.3% year-over-year increase. Again I must mention that these comments on our outlook reflect our current and preliminary view on the market and operating conditions which is subject to change. This concludes our prepared remarks and now we would like to take any questions you may have. Operator, please open the line for Q&A.
Operator: Thank you. We’ll now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Amanda Chen from Morgan Stanley. Your line is open. Please go head.
Amanda Chen: Hello. Good evening, management and thank you for taking my questions. Congratulations on the solid result. I have three questions here. First is regarding the dealer yellow page business. It seems now that the dealers in general face some profitability pressure this year. So how do you think it will impact our dealer yellow page business in 2016, 2015? Thank you.
James Qin: So that’s the first question?
Amanda Chen: Yes, that’s the first question.
James Qin: I think for our dealer ARPU growth strategy after the high penetration is we’re actually – we are going to execute our strategy in different stages. The first one is the deepened penetration. So we achieved that as the dealer yellow page business already contributes over 50% to our revenue. And we’re going to offer more value-added services, for example premium listing service services, dealer advertising, those kind of things. And thirdly, we will offer more differentiated products such as cost-per-lead or group-buy cost-per-sales, those kind of commercial product. And we believe the quality of our sales lead is one of our core competencies and there are opportunities for us to monetize them and further grow our business. And for the dealer subscription growth, the next step is we already have almost 1800 paying dealers and we believe our dealer subscriptions are the foundation of our dealer business. And a key driver of the business is volume, which is fast growing versus our peers. We’re expanding our registered pool. For example, we’re now including [Foreign Language] which is a mini one. We continue to improve the renewal rate through automated platform and cut short the time lag between the contract terminates and the new contract kicks in. And also with the successful launch of i-Autohub platform, we allow dealers to manage sales leads more efficiently and access extensive information about users’ behavior. And I think we’re aware of some negative sentiment of auto dealers because of their increasing pressure they have. But I think we’re not here to increase their burden. In fact we help them with better efficiency by facilitating more sales to them. The Internet will give them a transparent ROI that they can track and review. This is different than the offline activities when they usually have no – not a – will have not the solid data and information to gauge the performance. So for example, our group-buy business is a CPS product. It’s a – and the conversion rate is over 25%. It’s highly different than other channels.
Amanda Chen: Got it, thank you. Just a very quick follow-up on that. Could you please disclose the dealer advertiser number in recent quarters from 2014 Q4 to maybe next quarter? What’s the trend look like?
Nicholas Chong: Yes, I think the dealer advertising business obviously as we reported is the fastest growing part of our business. It’s growing at 100% plus. So as you can see, we are able to maintain the momentum. If you look at the numbers, I think the dealers – for example the – if you look at the split of the business, I think on the – in Q1, the dealer advertising is about – yes, so as I said, it has been growing at – it continues – it’s the fastest-growing part of our business.
Amanda Chen: Got it, thank you. Okay, so my second question is regarding your e-commerce strategy. We understand that you’re relatively cautious on e-commerce. But could you please help us to understand that what kind of signals could trigger you to increase the e-commerce related investment significantly? And if you do increase the investment, what’s the reasonable net margin for you in the long run?
James Qin: Sorry, could you repeat your question about what type of e-commerce you’re talking about?
Amanda Chen: Like what your competitors are doing right now and they already said that they will invest aggressively in that area. So do you think you will follow up? And what kind of signal will trigger you to follow up your investment?
James Qin: And I think we’re – our profit margin – well, our profit and margin levels remains in the leading in the industry. And this has been achieved despite the fact that we have been making many investments. I think for your – in terms of new car transaction facilitation, I think the core is not to give the subsidy because the new car purchase – the new car purchase is much less frequent than the other, for example, consumer electronics purchase. So I think the – you cannot rely on subsidy to increase your sales volume. I think the key is to understand the consumer value as well as the customer value you can provide by facilitating the transactions.
Nicholas Chong: Yes, I think just to build on what James has said, I think on the – currently in our transactions and trade business model, I think one of the things is to solve the efficiency problems. I think so far what we have done, I think we are able to target to help the OEMs and the dealers which is making deals and we’re using the advantages of the Internet to reduce the transaction costs and accelerate the number of quality transactions. So I think we – as you can see, we have done quite a lot of transaction-related items. Like for example in March, we do the flash sales event which was well received, as James said, in the script just now. And also we have done CPS. We have done like 10 group-buy events in 10 cities with 10 brands and the conversion rate is as high as 25%. And the earlier one on the flash sales, the transaction – the conversion rate has always been between 60% to 80% and we continue to do well in those areas.
Operator: Your next question comes from the line of Piyush Mubayi from Goldman Sachs. Your line is open, please go head.
Piyush Mubayi: Thanks, James, Nicholas. I have a few questions. But let me start with the dealer ASP that’s gone up so sharply. It’s a step-up function from the 17% a quarter ago to a 34% jump year on year. And this is happening, for what I understand, at a time when you’re growing in tier 3 and tier 4 cities. So just could you give us a sense of what the penetration is at this point in tier 3, tier 4 cities and second – what’s the ASP in tier 3, tier 4 versus tier 1, tier 2? And then what percentage of dealers are on the premium package and what’s the premium that a premium package commands at this stage over the same customer at that point of time? And should we be thinking about this business like a same-store sales model and get a better sense of what sort of price increases you can obtain via the combination of all of these different packages that you can offer over and above the 10% price hike that you talked about last quarter?
Nicholas Chong: Yes, I think the – Piyush, I think the first thing is to – yes, the ARPU has gone up by about 34%, it’s coming mainly from two reasons. One is the price increase. I think the one – the price increase that we had done last January as I mentioned was – is not retrospective. So we had some of the contracts were signed the later part of last year, was renewed the later part of this – last year and this year we get the full impact of the price increase. That’s one. The other one is the increase of the package – the percentage of premium package. So right now it’s about 30%. So I think there’s still room to grow. So this is the contributing reasons of the ARPU increase. And if you look at historically, I think as far as ARPU performance, the – in the last two years for example, Q1 will be the lowest in the year and then Q2, Q3, Q4 in terms of the ARPU per dollar – ARPU per dealers will go up. So we are anticipating the same trend that we can see this year.
Piyush Mubayi: And Nicholas, on the point of premium packages, which you said is 30% penetrated, what is the premium percentage over the base ARPU?
Nicholas Chong: I think it’s about 20% more expensive than the base package. So if the average price – as you know, our pricing is by tier city. Tier 1 is more expensive than tier 2; tier 2 is more expensive than tier 3. But within the same tier, the base – the premium package is about 20% more expensive than the base. So if the base package is RMB50,000, the premium is RMB60,000.
Piyush Mubayi: Okay. And also, could you remind us what the split was in tier 1, tier 2 and 3 and 4 on pricing?
Nicholas Chong: Tier 1 is about RMB80,000; tier 2 is about RMB60,000 for the base package. So the price – yes. I think we are – as we shared, I think our business is well spread in the sense that our tier 1 – I mean the so-called tier 1 that’s Beijing, Shanghai for us is representing 6% of our total number of subscribers. So we are well spread. We are not overly concentrated in the – in particular tier cities.
Piyush Mubayi: Okay. And if I might just ask you what the mobile revenue contribution is? It’s about 60% of sales [indiscernible].
Nicholas Chong: The mobile revenue – yes. Yes, I think the OEM – the mobile revenue as a percentage of the OEM advertising revenue is about 13% in Q1. So it’s an increase versus the 10% that we have achieved in Q1 last year.
Piyush Mubayi: All right. Thank you. And would you be able to shed some color on the partnership that you have with Baidu on the PC side which I suspect ends in a few months? And would you look at mobiles?
Nicholas Chong: I think you are referring to the bidding, right?
Piyush Mubayi: Yes.
Nicholas Chong: So I think that bidding is – would be in June. So I think as we shared before, I think we would participate in the bidding.
Piyush Mubayi: Okay, thank you very much.
Operator: Your next question comes from the line of Vivian Hao from Deutsche Bank. Your line is open, please go head.
Vivian Hao: Hi James, Nicholas. Thank you for taking my question. I have two questions. First of all, we’ve seen very – we saw very strong OEM advertising segment growth this quarter again. Is the introduction of the new cost-per-leads model a key driver for this outperformance? This is my first question. But related to this, it would be great if we can have an update on your CPL product development, both for the OEMs and dealers. To be specific, can we get a sense of the revenue contribution from this new revenue model and what is the ARPU per lead? I do have another question regarding margins, but I can wait in the queue.
Nicholas Chong: I think the – to address your question, I think the continued strong growth in the OEM advertising in Q1 is contributed at least by the same four factors as we highlighted in the Q4 growth. The first one is actually on the mobile monetization, as I answered the question earlier on. Right now it’s 13%. It’s gone up from 10% versus Q4. The second reason is the CPL for OEM. The third one is that because we have been running a lot of the transaction facilitation over the last 15 to 18 months. So that definitely has helped us to demonstrate value to the OEMs and dealers which in turn I think is also helping us to drive up the OEM advertising revenue. The fourth one is in the way the traffic acquisitions like Baidu Aladdin for example has contributed to that. So that’s on the reasons why – the four factors that explain the strength of the OEM advertising. On the CPL, I think the CPL OEM has been in place since Q4. For CPL for dealers I think we continued the trial. I think so far we have been getting a lot of satisfactory results. So I think more likely we’ll be monetizing from the second half of this year. So currently when we are trialing, we have not – we are not charging the dealers yet.
Vivian Hao: Not separately you mean? [indiscernible]
Nicholas Chong: I mean the CPL OEM has been monetizing, but the CPL for dealers we have not been monetizing yet, until the second half of this year.
Vivian Hao: Understood. I do have a second question regarding your margins. So …
Nicholas Chong: Sure.
Vivian Hao: the sales and marketing expenses as a percentage of revenue seem to be – to see a major hike quarter over quarter in a slow season. What is the key reason for this? If this is anything related to hiring? And also what is the hiring plan for this year? Thank you.
Nicholas Chong: I think on the sales and marketing, if it’s higher versus last quarter it’s because it’s – basically because of the revenue. Because some of this is fixed cost. For example PC Aladdin is a fixed cost. But if you versus last year, the sales and marketing, last year Q1 the sales and marketing go up, it’s because of the investment. Because last year we don’t have, for example, PC Aladdin. This year we have it. So that’s – it’s really more related to the marketing costs behind traffic acquisition. And for sales – for our overall headcount we have continued to increase the headcount. I think the end of last year we have about – close to 1008. At the end of Q1 we have about 2024 headcount. So this is in line with our plan. So we’ll definitely continue to invest in our headcount, particularly the higher sales and marketing and also the technical team. And we will grow the headcount double digit for sure. But I think we will be able to still get economy of scale because we will be growing the revenue even faster than the headcount that we have planned.
Vivian Hao: Right, this is very helpful. Thank you.
Nicholas Chong: Thanks.
Operator: Your next question comes from the line of Ella Ji from Oppenheimer. Your line is open, please go head.
Ella Ji: Congratulations on another strong quarter. First a quick follow-up relating to your headcount increase in sales and marketing. What are these headcounts? What business lines or what business products are these salespeople responsible for? And then – yes, go ahead please.
Nicholas Chong: I think – relating to your question, I think the sales we were – I think most of the sales is coming especially from the dealer business. That’s where the growth is.
Ella Ji: For the dealer yellow page business?
Nicholas Chong: Yeah.
Ella Ji: Okay. Got it. And then a couple of …
Nicholas Chong: Because we are expanding – yes, so we are expanding the coverage on the – geographic coverage and also we are expanding on the product coverage, yes. Sorry, your next question, yes, thanks.
Ella Ji: Got it. And then I have a question relating to your – also to your transaction-based business model. So far, most of your products such as group-buy, flash sales, CPL appears to be B2C products. I wonder if you would also consider C2B type of products going forward?
James Qin: We have that. We have those products. We have a product called [Foreign Language] which is basically the consumer will give us their own sales lead and we ask for their – the intention of the price. And we ask – we take that lead and we ask a couple of dealers who work with us and then we go back to the consumer to facilitate the transaction. So we have that C2B product as well.
Ella Ji: And, James, could you also elaborate on your plan for this product for this year? Is it also going to be a focal product or would you pay more attention still to those B2C products?
Nicholas Chong: I think the key – it doesn’t matter is C2B or B2C. The key is to understand your product really, what kind of consumer value and customer value. So, for example, I think the C2B product, in the past some of our peers have the Chinese, the car – the vehicle is a complicated purchase and needs some human touch. So no matter if the sales guy brings that consumer to different stores or calls different stores, it doesn’t matter if it’s B2C or C2B product. So you need to provide a value. You need to have some, almost like consultancy services. It’s not like a consumer contacts the different dealers, then the different dealers will compete in the auction of the sales lead because at the end of day nobody really know if these consumer are going to buy. I think our C2B product does provide a value, which is a consultancy service through our call centre. And we believe that is very effective.
Ella Ji: Got it. That’s very helpful. Thank you.
Operator: Your next question comes from the line of Gregory Zhao from Barclays. Your line is open, please go head.
Gregory Zhao: Hi Qin-zong, hi Nicholas. Congratulations on the strong quarter. I have three quick questions. The first one is that recently we are seeing some automakers are cutting their manufacturers’ suggested retail prices to stimulate new car sales. So in such kind of industry situation, how do you think we can help OEMs and dealers to – with their new car inventories and trigger volume growth? And, if possible, would you please help us to understand the correlation between the current auto industry situation and OEMs allocation of advertising budget on the Internet? This is my first question.
James Qin: Gregory. Thanks for the question. I think what we see is that the OEM is still positive in terms of 2015. And, as you can see, we have strong results in Q4 and the momentum into Q1 and also into Q2. So we do see a pretty good trend on the OEM spending on us. And also, auto sales is not a linear relation to budget, to Autohome. We do not believe that auto sales growth slowing down will impact us as we are still a very small, portion of the spending on average in the low single digit. I mean the spending on us versus the total OEM marketing spending. The other one is that the OEMs are shifting from brand promotion to more performance-based advertising campaign which should be a beneficial trend for us as well.
Gregory Zhao: Okay, thank you.
James Qin: Sorry, and also we are able to give – our ROI is more transparent. It’s high and also more transparent to the OEMs versus the other offline spending.
Gregory Zhao: Okay, thank you very much. The second question is about our gross margin. So I just want to understand more about our cost of revenue structure. So from our last annual report we see the cost of revenue in last year mainly include content related cost, which is around 6% of total revenue, and some VAT and business tax, which is around 5% of total revenue. So in this quarter we see the year-over-year base gross margin expanded about 3%. So may I know where’s this expansion from and what’s the future trend of our gross margin?
James Qin: So, you’re right that our gross margin has continued to improve. I think it’s like, for example, Q1 of 2014 our gross margin was 80% and Q1 of 2015 our gross margin is increased to 83.4%, of this 3.4 percentage points increase, salaries and benefits actually have improved by 0.7 points and then the bandwidth and IDC costs has improved by 1.1 points. And then the depreciation has improved by 0.7 points and business tax and surcharges improved by 0.5 points. I think essentially it’s that this is a very scalable business because a lot of this causes obviously we are able to grow the revenue much, much faster. Then the costing – then the cost of revenues increase. That’s why it gets reflected as the improvement.
Gregory Zhao: Okay, thank you. My last question to you is still about the sales and marketing expenses. I think excluding the PC Aladdin amortization expenses, I think on a sequential basis, the sales and marketing expenses absolute amount actually is comparable to Q4 last year. So I just want to get some color of the sales and marketing, our spending target for the rest of this year and the margin outlook, if we don’t factor in the impact from PC Aladdin or mobile Aladdin in that. So the margin outlook for second half of this year. Thank you.
Nicholas Chong: I think if you look at our sales and marketing costs, I think as you can see a big part of it is actually marketing expenses, which is related to the traffic acquisition, which is PC Aladdin and mobile. So actually that is the main cost driver. The rest actually has been – of course we do need to pay more for the salaries and so on. So I think that is the most important cost element for that. So I think overall, as we said, from a overall margin standpoint I think while we don’t give official guidance on that, but we have been saying that I think we should be able to run above 30% for our existing business. And you can see that for Q1 that we have completed, we came in at a non-GAAP net margin of 31.7%.
Operator: Your next question comes from the line of Anne Shih from Brean Capital. Your line is open, please go head.
Anne Shih: Hi, good evening. Thanks for taking my question. I just have a follow-up on the dealer network. Penetration last year was clearly very strong. I’m just wondering how rapidly you see volume growing this year?
Nicholas Chong: I think we will still be able to see the volume increase probably. But just from the volume itself, obviously, it may not – it will not be as high as last year but it’s compensated by the ARPU increase, as you can see, in the Q1 performance. We grew year on year 89 point something percent, of which revenue – volume growth is 40 plus and the ARPU increase is 30 plus. So for the whole year I think we will see that – we still see upside in terms of the number of dealers we will still be able to increase. And the beauty of that is that, as we discussed before consistently in the past, that as we have more dealers, paying dealers under our belt, then obviously we can then also go back to those dealers that is with us to increase the sale wallet.
Anne Shih: Just – I guess a more minor housekeeping question, just on the share based compensation. I noticed that’s obviously despite in the first quarter. So can you let us know if this is going to continue?
Nicholas Chong: The share-based compensation, yes, I think that’s – 
James Qin: I think for me as the CEO, I definitely want the share based compensation to increase, because that is in the interests of the management as well as the shareholders.
Anne Shih: All right, thank you.
Operator: Your next question comes from the line of Gene Munster from Piper Jaffray. Your line is open, please go head.
Gene Munster: Good evening and congratulations, my congratulations. Could you talk a little bit about the media side of your business and specifically just on how content is growing and how we should expect it to continue to grow. And separately any other issues around either radio or video and how to think about those and your broader media strategy? Thank you.
James Qin: I’ll take that first one, okay. I think we’ve proved the overwhelming value of our platform for both automakers and dealers for a couple of reasons. On the content side, number one is users like Autohome. So we provide the best quality of our content in terms of professional generated content in photos as well as articles. And on the video side, in the last year we increased a lot of our video editors staff. Now we are able to provide five shows per week. In the past per week we can only produce two shows. And now we actually have the best and the largest in-house video creation form – video creation team in China with respect to auto-related videos. So that’s one. And thirdly, so we also want to expand our coverage on users when they are in their cars. That was one of the reasons we introduced a new audio service through Autohome’s mobile platform. I think our goal is to become the next generation of [indiscernible] on the mobile phones. So we create our own talk shows and our own content rather than buying the music from third parties. So now we in- house create our own content. So that is on both the video, audio and traditional article as well as the photo. So we want to provide our content to all platforms, be it our own Autohome platform or other third party platforms such as WeChat, Microblog and even some other newly introduced application.
Gene Munster: That’s very helpful. Let me ask a follow-up here in terms of the audio side. As far as the growth of engagement, is there – is that specifically – is there any metrics around how fast that’s growing or what kind of usage? Is this going to become a bigger part of the story or is this more of a continuation of your broader content strategy?
James Qin: So this is a continual part of our content strategy and we launched this application in the April auto show in Shanghai. So, so far it looks pretty good. And we still need to fine tune our product, because especially with the limited bandwidth of China Mobile and China Unicom, we definitely need to fine tune our product. But I think that we have high expectations on this product.
Operator: Your next question comes from the line of Ming Yao from UBS. Your line is open, please go head.
Ming Yao: Hi, Nicholas. Congratulations on the strong quarter. So I have two questions. The first one is really quick. I want to clarify. So am I understanding right that the cost per lead product for dealers and also the e-commerce are both booked in the dealer ad segment?
Nicholas Chong: Yes, you’re right.
Ming Yao: Okay, thank you. Thank you. So my second question is regarding Ali Auto. So obviously they recently announced some business unit and some initiatives. So I want to – I would like to hear some comment on the overall threat of this Ali Auto. And, specifically on the marketing solutions side, I think they mentioned that they will leverage the user footprint on Taobao and TMall to provide targeted marketing solution for automakers. And I think JD is also trying to do a similar kind of work with their competitor. So do you think that this kind of purchase footprint will be more relevant and valuable for ad retargeting and will this be a threat for your advertising business? Thank you.
James Qin: I think I would like to focus on our own business and talk about the strength and in some cases the challenge of Autohome’s media business. I think Autohome’s media business, right now we have a very strong position. In the past, because we own almost 70 – three-quarters of the user generated content in China and also on the user reviews, basically we are the user review market in China’s automobile industry. In terms of professional generated content, which largely [indiscernible] as a very important pillar of the content strategy, I think currently Autohome’s content team is the largest in terms of number of employees and has created best of the quality of the content. So I think if you believe on the media business, content has been the most important thing and then you will understand the strengths of Autohome, going forward the challenge is because of more and more China’s consumers rely on mobile platform to access our content and we need to extend our content of strategy as well as our platform strategy. We need to be everywhere and anywhere to provide content to China’s consumers. That’s partially the reason why we keep investment on our video team, because on mobile phone it’s just much easier to see the video rather than watch the photos. And secondly, audio service is what we believe in the future is very key to Autohome’s content strategy. And on the platform access side, we pay more and more attention to the platforms, the majority of China’s mobile consumers are using, which is Weibo and WeChat and aside of them our own mobile site and mobile applications strategy. So I think we want to create more access for China’s consumer to access our content and on the content side we want to create more forms of content to make the consumer easier to consume those content.
Operator: Your next question comes from the line of Thomas Chong from Citigroup. Your line is open, please go head.
Thomas Chong: Hi James and Nicholas. Thanks for taking my questions. I have a couple of questions. The first question is regarding whether Autohome has any plans to take their inventory for the auto newcomers’ sector and any color about the GMV or the [indiscernible] sales demand for the first quarter? And then I have a follow-up.
James Qin: So I think maybe you’re a little bit right on that. I think currently Autohome has no plan to take an inventory. I think that should answer your question. Do you have any follow-up question?
Thomas Chong: And also regarding your transaction services, what areas do you think you can improve or you can do better?
James Qin: On the transaction services, there is a lot. For example you need to have – create a different product to meet different consumer need as well as customer need. Our flash sale basically is a very powerful commercial product for some of China’s carmakers to uplift their sales volume within a very short period of time, so for a couple of days. So that’s the intention of the flash sale. On the other hand, for the group-buy, group-buy services we provide for dealers, periodically they are going to use this group- buy product to increase their short- term volume for certain car models in some of their stores. And then on the consumer side I think that there is a lot of things what we can do in the future to help consumer as well as for dealers. For example, on transaction services now we provide a CRM tool for dealers to query, so that before a consumer walks into the dealer’s store, the dealer will understand the consumer’s online [indiscernible] behavior and so that they can create a tailored sales pitch for that specific consumer. So that from a specific consumer point of view you get better service and from the customer point of view you will have a higher conversion rate. So it’s a win-win situation. I can talk this all day long, because there is still a lot of things what we could do and we plan to launch all those things in sequence in 2015.
Operator: There are no further questions at this time. Please continue.